Operator: Good day ladies and gentlemen, and welcome to the fourth quarter 2006 Hecla Mining Earnings Conference Call. My name is Annie and I will be your coordinator for today. At this time, all participants are in a listen-only mode. We will be conducting a question-and-answer session towards the end of this conference. (Operator Instructions) I would now like to turn the presentation over to your host for today’s call, Miss Vikki Veltkamp, Vice President of Investor Relations. Please proceed Ma’am.
Vicki Veltkamp: Thank you all for joining us today. As the operator said, I’m Vicki Veltkamp, Vice President of Investor Relations for Hecla Mining Company, and we’re very pleased to be conducting our fourth quarter and year end 2006 conference call. Our call is being webcast live today at www.hecla-mining.com and on our website you will find the financial results and today’s News Release and in the News Release we have reconciled to GAAP of the cash cost per ounce calculation. Today’s presentation will be made by Phil Baker, Hecla’s President and CEO. He’ll be joined by Lew Walde, our Chief Financial Officer, Ron Clayton, our Senior Vice President of Operations, Mike Callahan, who’s our President of Venezuelan operations and Dean McDonald, our Vice President of Explorations. Following their presentations we’ll have a question and answer period. But before we start I need to let you know that any forward-looking statements made today by our management comes under the Private Securities Litigation Reform Act. It involves a number of risks that could cause actual results to differ from projections. In addition, in our filings with the SEC, we are allowed to disclose mineral deposits that we can economically and legally extract or produce and investors are cautioned about our use of such terms as measures, indicated, and inferred resources, and we urge you to consider those disclosures in our SEC filings which are also available on our website. And now I’m very happy to turn the call over to Hecla Mining Company’s President and Chief Executive Officer, Phil Baker.
Phil Baker: Thanks Vicki, and let me add my welcome to Vicki's on today’s conference call. I think we had a pretty comprehensive News Release and my colleagues have some interesting color to add so I’m just going to focus quickly on a few things. This has been a great quarter for us and great year, in fact the best in our history both financially and exploration wise. I knew we were having a great year but was quite surprised to find that it was the best in our 100 year history across so many different categories; most revenue, net income, cash flow, lowest silver cash costs. They’re all even better than in 1980 when the silver price was almost twice what it is today. And the exploration resulted in real growth, fundamental company-changing growth. A 25% increase in the silver resources for a company who’s never had that before from its exploration. And don’t forget the base metals increases as well. This has been a year of real value generation, but that’s actually the past and what I want to focus on is Hecler’s future so my comments are going to be primarily on that. And when it comes to the future and what’s changing the company, there’s nothing that’s been more significant than the resource growth we’re having with Lucky Friday, and what it’s done is caused us to commission a scoping study that considered doubling the Tanninger debt mine. This is a mine whose last major capital influx was in 1982 when the mile deep silver shaft was built. Since then the Lucky Friday has operated in what I’d call a depression for the silver price for the last 20 years. Only minimal capital investment was made in the mine. Now we’re talking about what this mine can do if we make $150-200 million capital investment, and what the study has told us is that without finding another ounce we can increase production, increase conversion of resource to reserve, and actually extend mine life. Now this is all based upon a scoping study and we have a lot of work to do, but there’s potential for the transformation of this mine and Ron will talk more about this. In some ways, the same way the Lucky Friday has been undercapitalized, our whole Silver Valley land package which, by the way, is among the largest, if not the largest in the valley has been under-explored, and we’re changing that. First we’re starting from underground with the Lucky Friday, and then we’re going to go to the Star and rest of the 40 square mile land package. Most investors don’t realize the history and the potential of this land packages’ unrealized potential because Hecler didn’t have the financial capacity to move on it. Now we do. Dean’s going to talk more about what we’re going to do with this land package. While challenged by the exploration success that we’re seeing at the Lucky Friday and Greens Creeks, San Sabastian continues to be our most exciting exploration project, for no other reason but the size of the land package - its 340 square miles, the multiple targets that it has, and the potential scale for what we can find there. And for the Hugh zone, we have a million ton equivalent silver ounce ore body to start with and the drilling on any one of our targets could add to that very quickly. At La Camorra and Venezuela this has been a great unit for Hecler which creates more opportunity for the future, and why do I say that? Because we know how to operate in Venezuela. The government knows us, they want us there, and we recognize the perception of political risk. So our strategy continues to be to build our business there without making substantial new investments. We want to be there for the long haul. We see the geology is too great and we have too strong of a position in terms of our land package, our people, and the government relations, not to stay in the game. And Mike Callahan who runs our company down there will talk more about this. We also announced today the sale of Hollister. We’re doing this because this 50/50 joint venture with its royalty provisions really couldn’t do much for us as investing and directing our people to the Lucky Friday and San Sabastian. That property just couldn’t have the company-changing impact and so the proceeds and the capital we would have spent on Hollister are now going to be available for these projects and for acquisitions. And speaking of acquisitions, we’ve opened a corporate office in Vancouver. Dean and a corporate development VP are located there. We picked Vancouver for this office because of the majority of the properties we’re interested in that we think we can add value to are owned by companies headquartered there. We think our assets will deliver growth but we want to accelerate that growth by adding additional assets that we can add value to. So we’ve had a great quarter, a great year. We’ve proven that our assets are capable of what they’re capable of doing operationally and exploration wise, and we see 2007 as being a year where we can do more of that. With that let me turn it to Lew for a few comments on the financials.
Lew Walde: Good morning everybody. This is Lew Walde. I’m the Chief Financial Officer of the company. As the press release states, during the fourth quarter we realized net income of more than $20 million or roughly $0.17 per share. Rather than talk about the obvious points in the press release, I want to expand on a couple of the unusual items that were included. First, we recognized a U.S deferred tax benefit and associated tax asset of $11.8 million during the first quarter. The company currently has approximately $250 million of tax net operating loss carried forwards in the United States that are available to offset future taxable income, and during the quarter just a small part of this potential asset was recognized. At current prices we can project future taxable income in utilization more than it allows, however we only recognized one year of future tax benefit in part due to the company’s limited history of taxable income. So as we move forward it is possible that more of this asset will be recognized. However at this point and time, evaluation allowance is maintained for the majority of asset. We will continue to update our analysis of the taxes on a quarterly basis but the question as to whether or not adjustments will be made is still open to debate depending on outcome on research to accounting rules. So anyway, in summary on the taxes and given today’s current price environment, I view this as a potential off balance sheet asset of roughly $80-90 million for the company. In addition to the tax benefit we also had a charge of $2.8 million for costs associated with the shaft at La Camorra, as the company and the contractor reached a final settlement on the final cost of construction. The company also realized additional compensation expenses associated with our deferred compensation plan. We’re electing now to pay this obligation out of cash rather than dilution and there will be a mark to market adjustment to this liability on a quarterly basis. In Venezuela we repatriated funds during the first quarter and in doing so we recognized a loss of about $2.2 million associated with this conversion. Periodically we may like to repatriate more funds from Venezuela which could cause us to have additional losses in the future. We've talked a lot about the Venezuela currency restrictions over the past couple years, and one of the issues that we're currently looking at is whether to change our functional currency use for accounting purposes for Venezuela operations. Today we have considered the United States dollar the functional currency, however with changing circumstances, we made a change in our functional currency to the Venezuelan Bolivar. Now if this occurs, the local financial statements will be converted at current exchange rates rather then historical rate and any exchange gains or loses resulting from translating the financial statements would be differed in the acuity section of a balance sheet. Now I want to shift over to the annual results. Including our 2006 income, in addition to the tax benefits that I previously discussed, we're $36 million (inaudible) on a sale investment in the first quarter. So for this year, our cash generation was over $16 million in cash flow from operations, which is a record in the company's 116 year history. So as a result of this excellent cash flow in the sale and investment early in 2006, Hecla's cash position has increased dramatically this year. And at the end of the year, we have more then $101 million of cash in short term investments on our balance sheet. This balance combined with our under armed credit facility continues to position us very well to make the investment into our future plans and for longer term growth. Now shifting to 2007 for a second, we currently anticipate that we'll make capital expenditures in the neighborhood of about $40 million and we budgeted at $22 million for exploration predevelopment expenditures, but it’s very likely that these costs may increase as we continue to make progress on the projects that we're discussing here today. On the production side, the state in the release will produce around 140 thousand ounces of gold that cost between $390 and $440 per ounce and sober production should be around 6 million ounces at a cash cost of less then $1.00 per ounce. One final note on our financials, new pension accounting rules became affective for Hecla in the 2006. Now I'm very pleased to let you know that Hecla increased its non-current assets by approximately $4 million to fully recognize the over funded status of Hecla's pension products. Note that this adjustment did not affect earnings as it was a bond adjustment only. And at the end of 2006, Hecla's pension funds have excess of over $80 million in benefit obligations of approximately $55 million. This represents an over funded position of approximate $25 million or approximately 43% of the benefit obligations. Now for some more focus on the operations accounts program, I'd like to turn it over to Ron Clayton.
Ron Clayton: Thanks Lew and good afternoon, I'm Ron Clayton Senior Vice President of Operations. I'd like to start by talking a little bit about the Lucky Friday. Where we completed an extremely successful year in 2006 we were able to take advantage of a couple of new opportunities. Most importantly we positioned the operation for significant improvements in the future. Regarding 2006, the 5900 level project was completed, and reached full production in the second half of the year. We successfully operated four intermediate slopes during the course of the year. We also purchased land that will provide sales capacity for the foreseeable future, and we made large strives in the low maintenance area. The growth in the resources and the improvements made in the mine and processing plan, has positioned the operations to begin an investigated significant increase in the production rate. As you read in the press release, we’ve completed a scalping level economic study that indicate positive increases in production costs, and could be very economically valuable. The study used an $8.00 silver price, 42% lead and 67% zinc. With the higher production rate, the study generated 20+ % sort of returns and cash cost somewhere in the current performance. While the study is very preliminary on the estimates production cost order magnitude estimates, the robust economics support conducting a (inaudible) study. We are currently developing (inaudible) of work for that study and expect commit the resources and commit the work in the next 30 to 45 days. We currently expect the study to be complete by year end, and I fully expect that we'll begin a full feasibility study early next year. In addition, somehow in this expansion our life may be fast tracked. For example, justification and shaft access to the lower levels of the mine is relatively clearer without expansion above the current production rate. We suspect as we get into the pre-feasibility study, other aspects will become candidates for some more treatment. You know, not too long ago, Lucky Friday was kind of considered a tired out old mine. I'm quite proud of the work our people have done bringing the mine to be a key now and into the future. Lucky Friday is going to be an exciting place to be over the next several years. The fourth quarter marks a significant improvement in production performance at Green's Creek. The extraordinary rehabilitation program that hampered production during bulk 2006 was completed, and a more normal maintenance program has been implemented. In addition, a contractor was engaged during 2006 to assist in getting development further ahead of mining. This will help us to improve our planning and our operational flexibility. This effort was extremely successful and resulted in 24% higher ton and 12.5% higher ounces produced in the fourth quarter 2006 versus fourth quarter 2005. Green's Creek is on track to deliver at least 2.5 million ounces in 2007 and management has a number of casual projects slated for 2007 that are targeted to provide a modest 5-10% increase over the next couple of years. We continue to make good progress on the new zone pre feasibility study. The new zone is the latest new discovery in our San Sabastian property in Mexico where it identified approximately 9 million ounces of silver in 250 million pounds of base. During the fourth quarter, we completed an updated resource estimate in the hydrologic and geotechnical field where the support shaft and the ramp develop analysis. We were updating the methodological analysis to include the 2006 results. We expect to integrate this work to develop every mining plan, update capital on operating cost estimates, and prepare an economic estimate around that year. Further success in identifying additional resources may have an impact on project design and time. Production from our Venezuela on operations improved on almost every category in 2006 over 2005. Sales processes were up 23% for the year and gold ounces produce were up 58%. Cash cost per ounce were only slightly higher in 2006, and slight cost increases have hit the whole industry. Successful ramp-ups and full production at Isadora resort is the primary reason for the improvement. Our people did a wonderful job in developing Isadora and we're looking forward to another good year from the mine. Overall production will be lower in Venezuela as the result of lower time and (inaudible) from the mine, as the mine nears the end of it's crown reserves and resources. With that I'll turn over to Mike Callahan for further discussion on Venezuela.
Mike Callahan: Thanks Ron. You know I'd just like to reiterate Ron's comment about the improvements and performances of Venezuela in operations. Both our fourth quarter productions and our 2006 production will present a second highest production level in our history in Venezuela. And additionally there was the record in cash flow that we saw from the Venezuela in operations in 2006. Now these achievements really demonstrate the quality of our assets in Venezuela and why we remain poised to take advantage in this great geologic district. On the political side, we, as you read all the interesting media coming out of Venezuela, President Chavez was reelected in December with a 63% approval rating which was the highest approval rating of a president since 1948. In January, as most of you are aware, Chavez announced his intent to take control of TV and private electrical distribution companies and some oil projects where the government doesn't have a minority interest. This had an immediate negative impact on the markets for those companies, but however, when you look at what happened afterwards, once it was made clear that the minority shareholders could keep their shares and that the majority shareholder would receive close to the market value for their interest and maybe even greater, the market for these companies recovered to where their levels were prior. First I'd been involved in the Venezuela pent initial diligence trip in 1999, and troughout the past seven years, there have always been what seemed to be major issues to deal with. We've have two accounts, countered two accounts, national strike, millions of people protesting, presidential week referendum, exchange control changes and more immediate propaganda and rhetoric than I can try to recall. And yet through all of this we just had a record year for generating cash flow and we just had our second highest production year since arriving. The issues that we are facing today are just those, today's issues. Yesterday's issues are gone and tomorrow's will come in time. But I have to say our employees and our advisors have done an extraordinary job of sorting through and managing the issues while allowing our operations to run efficiently. Chavez has been very clear for a long time…he wants a more socialist society. The result is that he is not sure what form that is going to take. So I am certain there are going to be new challenges going forward but I know that we're going to apply the same process that has worked for us since arriving. And a critical part of that process is that we continue to maintain a good relationship with the government and the people of Venezuela and we've had several meetings recently with the government officials. And the message has been quite consistent and that message is that they want to continue to provide an environment for mining sector for companies like Hecla to operate in the future. They recognize the value that companies like Hecla provide to the communities and the country as a whole. In fact, Hecla has been singled out recently as an example of a company others to follow. And our reputation for how we conduct our activities and our business in Venezuela is highly regarded with the government. So as Phil mentioned, our strategy is to be in Venezuela for the long haul, and we're going to continue to do that by maintaining an open dialogue with the government, supporting the communities that we operate in, and being a good citizen and a partner for Venezuela. And with that I'm going to turn it over to Dean to talk about it a bit.
Dean McDonald: Thank you Mike. Good Morning. I'm Dean McDonald, Vice President of Explorations. This has been a terrific quarter and year for Hecla on the exploration front with substantial increases in silver and base metal resources. A Lucky Friday is an often underappreciated part of Hecla's story but with recent discoveries it now has a reserve and resource of 117 million silver ounces. There remains significant exploration potential to depth, as recent drilling intersected a series of high grade silver base metal veins at approximately 79,000 foot depths. This is 190 feet below the current resource. Drilling has been unexplored at 29,000 foot depth area above the current workings at gold hunter ore body along the main mineral ice trend. In addition drilling from Lucky Friday will also begin vectoring towards the past producing Star Mine. This is really an excellent target because the projections of the previously mined series of structures coalesce into this unexplored area. Drilling at depth over the next few years is like to add 20-30 million veins of silver to continuity. But with these new areas I've described, in the Luck Friday site, we can anticipate significant new resources to be added over many years. With robust commodity process, the silver valley in Idaho has gained a new lease-life as the center for silver based metal exploration in the world. I was surprised when I arrived here, how under-explored this over billion ounce district is. And Hecla intends to be a major player in its resurgence. We have three programs here going simultaneously. A Lucky Friday gold hunters Star Mine program, involving 3D modeling and ore-zone projections, a synthesis of surfacing and underground data on the 40 square mile land package we currently hold, and the third front is a view of the rest of the silver valley exploration front, so we're ready to seize new opportunities in the valley. We expect drill targets to be generated, at least for the first two programs, this year and further announcements based on work from the latter. Mexico is one of our primary areas for exploration. For the past few years, the folks at San Sabastian, our property of 340 square miles of contiguous concessions, which made our drilling this Hugh-zone and basic geology to develop targets on this large land package. The press-release only mentions two of the eight targets we are going to drill in 2007. But there are an additional 15 other perspective epithermal targets we are developing along a series of mineralized trends that transect the San Sabastian property. Hecla has recently acquired Rio Grande's silver/gold project, located approximately 30 miles from San Sabastian. It is undergoing extensive sampling and drilling programs as we speak. Also in Mexico, a generative exploration team has been put together, whose mandate is to bring new exploration projects to Hecla. With over $5 million in exploration expenditures slighted from Mexico, we intend to be aggressive on many fronts. Green's Creek has been producing exploration results for 30 years, allowing it today to be the fifth largest primary silver producer in the world. 2006 was no exception with the exploration successes from the 5250 and Gallagher zones. In addition, the West Gallagher area has been intersected and the surface drilling appears to have a significant additional extra strike-length. Excellent results in the high grade silver 5250 zone have resulted in continued focus in exploration along this high grade structure that is easily accessible from current mine workings. An active program on surface exploration at Green's Creek will also be conducted during 2007, including surface drilling along the middle, upper and west Gallagher and northwest extension near the mine. Drilling is also anticipated in the adjacent exploration block containing the low ore and lower zinc contact trends. While exploration has occurred at Green's Creek and has occurred for 30 years, for the first time a major testing of surface targets relating to a planned five year exploration program is well under way. Venezuela has remained an under-explored region and Hecla has title to two outstanding greenstone packages. We continue to extend the existing ore bodies at Isadora and to find new resources. Overall during 2007, Hecla will spend $22 million dollars on exploration with $5 million designated for Mexico, $2 million for Idaho, $1.3 million for our share at Green's Creek, $1.4 million on Hollister, $3 million in Venezuela, and $700,000 for generative exploration.
Phil Baker: Now the expenditure for Hollister, that's to date?
Mike McDonald: To date, that's correct. In addition to those numbers, there's $8 million exploration that is currently unallocated, and we will use that money to supplement successes with our current programs or be used to acquire other desirable projects in our jurisdictions. We've opened the Vancouver office where I will be primarily based, because I believe it is one of the main exploration centers in the world. Our strategy is to be a viable, visible partner for companies that have property needing exploration and development. We believe it is time that junior exploration companies explore their future with Hecla.
Vicki Veltkamp: Annie, I think now is the time for the question and answer period. Could you give the instructions for that please?
Operator: Sure. If you want to ask a question please press "star" followed by "one" on your touchtone telephone. If your question has been answered or you wish to remove your question, press "star" followed by "two." Press "star one" to begin. Our first question on the line comes from Anthony Sorrentino with Sorrentino Metal.
Anthony Sorrentino: Hello everyone. You said that the capital expenditures in 2007 would approximate $40 million. Would you give an example of capital expenditures by profiting?
Phil Baker: Yeah, we can do that, Lew could you provide that?
Lew Walde: For the Lucky Friday we should spend around $17 million, up at Green's Creek its around $11 million, then down in Venezuela mainly at Isadora, it’s $10 million.
Ron Clayton: And Anthony, those are the numbers that we have at this point. We would anticipate that if we have positive results as we're doing the pre-feasibility results at the Lucky Friday and other things that we're looking at. In Green's Creek and across the company that that number could increase.
Anthony Sorrentino: OK. Fine, and speaking about the Lucky Friday, with the capital project that large, $150-200 million, do you have any idea how long it would take from start to finish for such a major project.
Phil Baker: Yeah Anthony. We've really got to put a lot of details to the idea, but I mean you're talking about, that project contemplates building a new mill and sinking two shafts. One for (inaudible) to probably somewhere below 49,000 level and one from 49 to 8,000. Those are major jobs; five or six year kind of projects.
Phil Baker: But there are certain aspects that would happen faster than others. A mill construction would be a couple of years sort of project. The underground shaft would be maybe a four-year sort of project. The longest one would be something going from surface to our existing working, because you’re talking about something that’s almost a mile deep. When they built the shaft in 1982, Ron, do you know how long that took?
Ron Clayton: It was about a four-year project that included some of the pre-engineering stuff. But really the physical work was 3.5-4 years.
Anthony Sorrentino: If the time came that you went ahead with that project, would you try to do everything you could to avoid disrupting the production?
Phil Baker: Yes
Ron Clayton: One of the reasons why it would take as long as we’re contemplating - if you shut everything down you could probably do it significantly faster.
Phil Baker: Yeah, you could do it some faster. But that would be the key deal to avoid production interruptions as much as possible.
Anthony Sorrentino: Thank you and Congratulations on a great year.
Operator: The next question comes from Terence Ortslan with TSO & Associates.
Terence Ortslan: How are you guys? You were not open for business, could you talk about the criteria you’re going to use for this. What is it going to be and what is the time and budget for that?
Phil Baker: There’s a lot of specific things that you’re asking for. Let me talk more generally about it. What we’re doing is focusing primarily on some districts that we have an interest in. You’ve heard about the Silver Valley. We’re going to emphasize, really looking at all opportunities within that valley. We are, if not the largest land holder close to it. We’re certainly the largest company operating in the Silver Valley. So that’s on the top of our list. As well as Mexico, where we have a decade of operating experience, we have an operating team that is there. So we’ve focused on a particular area within Mexico that we’re actively evaluating. So we’re focused on a particular area within Mexico that were actively evaluating…basically any opportunities that fall within the geographic areas that we’re in. We’re looking at just all other Silver assets that need a certain size criteria and it’s a little bit of a moving target, but we are looking for silver properties that have the opportunity to have some size to them. And finally we’re looking at gold assets that are niches as in a narrow vein underground miner. We have those four broad criteria. When you start then looking at specific assets, we’ll have size requirements, we’ll have return requirements, we’ll have cost requirements. Those things will change over time. There not quite as set in stone as the broad targets, broad goals we have with the acquisition program.
Terence Ortslan: Is Vancouver going to be augmenting this?
Phil Baker: We’ll have Dean McDonald and another corporate developer sitting there. We’re anticipating the whole management team that’s in this room spending a significant amount of their time in Vancouver, because that’s where these opportunities are germinating from. This Vancouver office is an extension of the Court Elaine office. We’re trying to integrate the two.
Terence Ortslan: The other asset that exists in the country and the way it’s going to be resolved, I think that’s going to set the tone for the evaluation of other assets, would you agree?
Phil Baker: Mike you can comment on that.
Mike Callahan: The way we look at Venezuela…we’ve had a great experience in Venezuela, we love the geology and regardless of what happens to some of the other assets and some of the other companies, our experience is very positive and we look forward to continuing there.
Ron Clayton: In terms of the market’s evaluation of our assets, those are going to be set by what the government does with us and with these other assets. But we in no way expect an inability to do what we’ve done in the past, and operate and generate cash flow. Have this be a contributor to HECLA.
Phil Baker: Yeah, but I would agree that if something positive came out on one of the other assets it would be a positive statement for mining in Venezuela.
Operator: The next question comes from Mike Jalonen of Merrill Lynch.
Michael Jalonen: Good news here, good to see. One for Lew, with the discussion on the tax laws, could you clarify that $ 80–90 million balance sheet asset, does that mean you wouldn’t pay any taxes in the U.S. on taxable income until that’s exhausted or am I looking at it the wrong way?
Lew Walde: Yeah, Mike, there’s about $250 million of tax net operating loss of what’s available in the United States, which if you apply an effective tax rate, would get you down to that $80-90 million that’s available to off-set future taxes.
Ron Clayton: And there might be a little bit of alt-min that we’d have to pay, but it’s 2%. Yes, we’re paying about 2% of alternative minimum tax for our taxable income in 2006 and that will continue to occur going forward.
Michael Jalonen: It sounds like you guys aren’t going to pay any taxes in the U.S. for a few years to come.
Ron Clayton: Yeah, it depends on what prices you assume, but that’s a fair comment. It’s a bit frustrating that we’re not able to recognize that as an asset. As we’re going through the rules as we’re looking back one year because we only have two out of the last three years where we’ve had taxable income. But we haven’t had two consecutive years, so we’re limited to that. And that’s just the way the rules have been applied.
Michael Jalonen: Ron, I was wondering there, to get that 20+ % return, how much reserves or resources are you assuming and what kind of mine-life and production would that involve?
Ron Clayton: That particular scope and study assumed that we would mine all of the current resources that you saw in the plan with the exception of Lucky Friday so the bulk of the resources, it produces 107 million ounces. The mine life goes from…the current one is 2018 and it goes up to 2026 so it adds eight years. What was your other question, Mike?
Michael Jalonen: Was the production at six or seven million ounces per year?
Ron Clayton: Yeah. It gets up around six or a little higher than that. We basically made the assumption we could go to 2,000 tons a day to start this out and that we could come up with a mining method that would let us mine the intermediate veins at approximately the same rate we mine the 30 vein in similar kinds of grades. The most important thing to draw out of the study, Mike, is not necessarily that it’s 2,000 tons a day or 3,000 tons a day, but the economics are robust enough when you look at this, that makes it clear that there’s an opportunity to significantly increase production, cut the cost, increase the mine life, and make more money. It will support a very large capital expenditure to get there and still make a profit.
Michael Jalonen: So that’s four million ounces a year until you have this completed, I guess, five or six years out sort of thing?
Ron Clayton: Probably, I mean, we're looking for some ways to make some intermediate moves too. I knew Phil was going to get all over that. (laughter) I mean, we have been working hard for the last six months to a year to try to find ways to push every infrastructure piece we've got in the mine to try to get it up a little bit above that. So part of this study is going to be looking for ways to get some incremental movement along the way to a big movement.
Phil Baker: The good news is we're mill constrained at the moment. That's the first constraint we have, which, there's ways to get around that. But then we quickly run against ventilation constraints, and we're spending time and effort trying to figure out if there's some intermediate step we can take to increase our ventilation.
Michael Jalonen: You have an experienced workforce getting a little older. You guys are doing an essential big expansion. Would all of the training go for new people?
Ron Clayton: Actually, we already have really good experience with that right now. We have quite a unique workforce because about half of it is that older, more mature, very experienced workforce that you're talking about. We have a tremendous number of young people, sub-35 kind of folks, the 20-35 kind of range that we've been hiring and training in the last two years.
Phil Baker: Because remember in 2001 we were kind-of down to, what, 55-60 people?
Ron Clayton: Right, 55 or 60 people.
Phil Baker: Now we're 2...
Ron Clayton: ...almost 200 people.
Phil Baker: Yeah. Of course, some of those people we added in the meantime were experienced, but we also have added a lot of new folks. We have a training scope that we've established, and it's really taking us back to the days, Ron, when you started up the Lucky Friday.
Ron Clayton: Right. We have really done well being able to hire and add people and get them trained. And we still have a lot of work to do in that area. That's one of the things we're doing big time in the mill right now, is getting operators and mechanics trained, and that kind of thing. Of course we're making changes in the mill, so that complicates the whole situation. But we're in pretty good shape, for people in training. We've got 210 people right now, Vicki tells me.
Michael Jalonen: That's good. I guess just one last question, thanks for that. You mentioned that your costs would stay similar to what they are now. I assume…I remember saying that…and I noticed a grade of resources is well below that of the reserves. I was wondering, it's a big drop in grade, 13 to 8 ounces?
Ron Clayton: Yeah. Basically what we've done in the study is, we've gone through and analyzed the operating costs on a per-ton basis, and recognized that we're going to get some economy of scale out of that. So your per-ton costs are dropping, but they're in this particular study, and the results, it's almost perfectly offset by the decrease in grade. So you get the economy of the scale of double production, but with lower grade it basically puts you at about the same cost per ounce. And remember, those are significantly lower prices than what we're currently seeing. I rattled those prices off, but they are $8 silver, and $0.42 lead and $0.67 zinc. And that's the other thing that makes this study fairly robust. Those are not overly robust prices at the moment.
Michael Jalonen: Oh, OK. Well, thank you very much. Good luck.
Ron Clayton: Thanks, Mike.
Operator: Your next question comes from the line of Sean Cook of CIBC World Markets.
Sean Cook: Hi, gentlemen. Congratulations on a really good last quarter. I have just one question on the 33 million ounce at 25% increase in reserve resources. I take it that the majority of that does come from your success in exploration. But what fraction of that can we attribute to metal-price assumptions?
Phil Baker: We've had that debate, as well, as to what it is. And we can't come up with an exact figure.
Sean Cook: Ballpark it?
Phil Baker: Yeah, ballpark is... Go ahead, Dean.
Dean McDonald: We have a number of ranges, but it probably sits around 50-50.
Sean Cook: Okay.
Ron Clayton: This is Ron. Here's the thing I think you have to understand about that, is that while the price increase has had an effect on our reserve criteria, more than 50% of that is in new areas. So if you haven't drilled the holes, then it doesn't matter what the price is.
Sean Cook: Right, right.
Ron Clayton: I mean, that's kind of a chicken-and-egg conversion here. We've substantially picked up the number of tons as a result of the drilling. Yes, some of those may not have made it in at a lower price. That's a better way to look at it, I think.
Sean Cook: Okay, okay. Well, thank you for your candor on that, and again, congratulations on a good last quarter.
Ron Clayton: Thank you.
Phil Baker: Just one further comment on that. As far as the prices that we use in calculating our reserves and resources, it's based upon a three-year average price for each of these metals, historic price. Is that right, Lew?
Lew Walde: Yeah, it approximates its three-year average, which is sort-of the criteria that the SEC suggested to mining companies.
Phil Baker: Okay, I'm sorry, operator.
Operator: That's fine. As a reminder, please press *1 for questions. And your next question comes from the line of Jed Richardson of Sprott Securities.
Jed Richardson: Hi there.
Phil Baker: Hey Jed.
Jed Richardson: I just wanted to go back to Terry's question on juniors.
Phil Baker: Sure.
Jed Richardson: I was wondering what the strategy would be if... Are you looking to set up joint-venture partners, or would you take equity interest right in companies and help them push projects along? Could you add some details?
Phil Baker: Yeah. If you go back to 2004, when was that Mike? Yeah, in 2004 we made the Alamos transaction where we were prepared to make a take a stake in the company. We're prepared to do those sorts of transactions in the future. But we're quite selective on what we'll do. It's go to be a situation that fits a number of criteria. And the most important being an asset where we think we can add value to it with our operating expertise, our development expertise. So, we're prepared to do that, but we're not going to do it willy nilly. We're not going to just pick up any company out there that needs to raise equity and just take a stake and see what happens.
Jed Richardson: Okay.
Phil Baker: We also are very interested in joint-venturing on things. You know, we're certainly talking to people about the potential of doing that.
Jed Richardson: Alright. Can you provide any kind-of color on what those criteria would be, so we can all guess them and... (laughter)
Phil Baker: Yeah, look. The first criteria is going to be the metals. It's going to be silver, it's going to be gold, it's going to be in these geographic jurisdictions that we're in. That's where we're starting. It's going to be where we're adding value, where we have our operating expertise. Jay Layman, who is our VP of Corporate Development, if you'd like to add something to that, and Dean, I'll let you add something as well.
Jay Layman: Yeah, this is Jay Layman. I guess the biggest criteria would be the value added. Hecla has a historical mining expertise that's pretty special. It's one of the reasons that I came to the company. And we can apply that going forward. That, plus our poly-metallic expertise to silver and base metals. So we'll be looking at opportunities that we can add value to, whether by acquiring the asset, joint-venturing on it, or, as Phil mentioned before, in the right situation, making an equity placement.
Dean McDonald: Just to add – this is Dean. Part of that criteria is that we're looking for long-lived assets. There's no point in buying something that has a three or four year mine life. And so a component of that is obviously expiration potential, and what those projects or companies bring.
Phil Baker: And that ties back to the Hollister transaction. We viewed Hollister as being a good opportunity for us when we entered into it in 2002. We still think it's a good asset. But the size of it, I was looking at Great Basin's press release, and they mention that this represented 5% of their total land package. And that's absolutely right. It was relatively small compared to the overall land package. So the opportunity of that being large and being an ongoing asset was challenged in that respect. And so we're looking for assets that are similar to the Lucky Friday’s, the Greens Creek’s, the San Sabastian, the Venezuelan land that we have, that has the size and has the capability of being long-lived.
Jed Richardson: Okay, thanks.
Operator: Your next question comes from the line of Elliot Glazer with Du Pasquier.
Elliot Glazer: Congratulations, gentlemen on a really excellent job. My first question has to do with the situation in Venezuela. Did you state that you can absolutely take no money out of the Venezuelan gold operations and bring it home?
Phil Baker: No, we can take money out of Venezuela and we have in fact, that’s why we recognized an exchange loss of the $2.2 million. But the problem is that there’s a differential between the official exchange rate and the parallel rate, and whenever we take money out of the country we’re having to pay that cost, that we’re taking a discount if you will.
Elliot Glazer: Could you be more specific. What percentage do you have to give up to take money out?
Phil Baker: It depends. Every day, every second the exchange rates change but on average in 2006, what was it Lew?
Lew Walde: The funds that were brought out in the second half 2006 was roughly about 30%.
Elliot Glazer: So if you take out $2.2 million, you have to pay about $660 000, you lose on the exchange rate?
Lew Walde: That’s right.
Elliot Glazer: Would you guess that the situation is going to change either positively or negatively during the rest of Chavez’s new term?
Lew Walde: Anybody care to guess? (laughing)
Phil Baker: Lew, Mike and I had a conversation about this yesterday and it’s very difficult to be able to be able to try to predict what the next events are going to be in Venezuela. The last time that they devalued the currency was March of 2005. There is certainly possibility that there will be devaluation in 2007 but there has certainly been no official announcement of that at this point.
Elliot Glazer: OK. So those of us who are not foreign currency experts, if they devalue in 2007, does that mean you would have more money to take out or less?
Lew Walde: It would potentially allow us to…see again, the majority of costs are denominated in Bolivars which therefore, on a U.S dollar term basis, would reduce the operating cost and therefore increase the margin. So there are benefits and there’s (inaudible).
Elliot Glazer: Got it. Have you thought in terms of negotiating with Chavez, in the kind of way, for example, that they had lunch with the CEO of Total Petroleum of France yesterday? They have massive operations in Venezuela. If you could talk to this guy, could you possibly sell the operation to Chavez of Venezuela and as part of the deal get money to take out and use it to develop the underground shaft of Lucky Friday? Have you thought internally of something like that?
Phil Baker: Let me make a couple of comments and then I’ll let Mike add to it. First of all, we are not Total. We are a small company and in Venezuela the mining industry, and specifically the gold mining industry, is extremely small and does not get the same attention that the petroleum industry gets.
Elliot Glazer: Got it.
Phil Baker: So that’s number one. And number two, is because of that they don’t have the expertise in the country to do what we do. We transfer technology to Venezuela and that’s one of the benefits that they see in having us there. So our sense is they would not be enthusiastic to acquire the assets and see us go away. They want us there and they want more people like us to be there, specifically in the precious metals mining sector. Mike?
Mike Callahan: Yeah, I had a recent meeting with the minister that controls (inaudible) and one of their concerns is that they want to provide an environment where there’s more legitimate serious mining companies to operate in Venezuela because we’re the kind of company that comes in and provides good jobs, provides support to the community, pays our taxes, and reports the gold. And that’s really what they’re looking for because that expertise doesn’t exist in countries...
Phil Baker: And you also can’t buy the consultants to do the work like you can do in the petroleum industry.
Elliot Glazer: Yup. That’s a very helpful explanation. Turning to Lucky Friday. Is there any experience with any mining company in the United States in any mineral down at the 7900 foot level?
Mike Callahan: I’m sure. Hecler has Star mine which is two miles away.
Elliot Glazer: How deep in the history of Hecler have you mined at Star?
Ron Clayton: Star was a little below 8000 feet deep.
Mike Callahan: OK. That’s very helpful.
Ron Clayton: And frankly, I’ll just share another piece of information with you. We took a team that went to South Africa in January to take a look at what they’re doing. They’re really…there are a couple of places in Canada, but really the South Africans are the experts at depth, and quite frankly they’re dealing with things at 12 000 feet depth that we’ve been dealing with at the Lucky Friday for the last several thousand feet in terms of heat gradients, rock mechanics, all those kinds of issues. So I came away from that trip feeling pretty good that we were very well positioned to deal with the challenges of the kind of depths that we’re talking about.
Phil Baker: The other thing to kind of mention is that Lucky Friday is really made up of two ore bodies, the old Lucky Friday vein, and what’s known as the Gold Hunter. We typically don’t use the Gold Hunter too much. That name, because it’s a little confusing, but that’s historically what it’s called. And the rocks have different rock mechanic characteristics and what we’re in now, this expansion area that’s in the Gold Hunter is much more competent rock that what we experienced in the Lucky Friday.
Ron Clayton: And actually, a little clearer way of explaining that, is the rocks in the Lucky Friday are hard and brittle and they tend to absorb a lot of energy and then fail fairly cataclysmically, whereas the rocks in the Gold Hunter area…there’s a whole lot more in the material so it tends to squeeze or move which is much easier to deal with.
Elliot Glazer: Are the veins any wider?
Ron Clayton: You know, really the main thirty main in the Gold Hunter is roughly on average six feet wide. That’s pretty typical of the main Lucky Friday vein. The big difference is you’ve got all these subsidiary and intermediate veins that are shorter in strike length, a little less continuous, and tend to be a little higher grade but a little narrower, so you’ve got multiple assets, I guess.
Elliot Glazer: Sounds great. Thank you gentlemen.
Operator: And at this time, there are no further questions.
Vicki Veltkamp: All right. Thank you everyone. That concludes Hecler’s fourth quarter 2006 Conference Call. If anyone has any additional questions, you can call me, Vicki Veltkamp at 208 769 4144. Thank you all for joining us, and have a great day.